Operator: Good afternoon, ladies and gentlemen, and welcome to the Zions Bancorporation's Second Quarter 2021 Earnings Results Webcast. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. .
James Abbott: Thank you very much, Christian. It's actually James Abbott, but thank you again. I appreciate it. Good evening, everyone. We welcome you to this conference call to discuss our 2021 second quarter earnings. I would like to remind you that during this call, we will be making forward-looking statements, although actual results may differ materially. We encourage you to review the disclaimer in the press release or the slide deck on Slide 2, dealing with forward-looking information and the presentation of the GAAP measures, which apply equally to the statements made during this call. A copy of the earnings release as well as the slide deck we will use on this call are available at zionsbancorporation.com. For our agenda today, Chairman and Chief Executive Officer, Harris Simmons, will provide opening remarks, followed by comments from Scott McLean, our President and Chief Operating Officer. Paul Burdiss, our Chief Financial Officer, will conclude by providing additional detail on Zions' financial condition. With us also today are Keith Maio, our Chief Risk officer; and Michael Morris, our Chief Credit Officer. We intend to limit the length of this call to one hour. During the question-and-answer section of the call, we request you to limit your questions to one primary one and a follow-up question if necessary to enable other participants to ask questions.  With that, I will now turn the time over to Harris.
Harris Simmons: Thanks very much, James, and welcome to all of you who have joined our call this evening. I'm going to start on Slide 3. We are really pleased with the overall results for the quarter, particularly on the credit quality front, where we experienced net recoveries of previously charged-off loans. We saw loan activity, excluding PPP loans that was more encouraging, and we've become somewhat more optimistic about the loan growth prospects for the future. We accelerated the purchases of securities during the quarter, resulting in linked-quarter growth in that portfolio on an amount was roughly double that of the prior quarter. We plan to continue that pace in the near term. Deposit growth was strong with essentially all of the growth coming from noninterest-bearing deposits. And despite the increase in securities purchases, our money market investments increased relative to total assets. We continue to streamline the organization, allowing operational expense to remain relatively flat.
Scott McLean: Thank you, Harris, and good evening to everyone. Turning to Slide 8. As a precursor to discussing the Paycheck Protection Program, or PPP loans, our adjusted pre-provision net revenue was $290 million in the second quarter. This is net of the effects of the previously noted IPO. You'll notice that the bar is leading to 2 portions. The bottom portion of the bar represents what we think of as generally recurring income, while the top portion of the bar denotes the PPNR we've received from PPP loans. Of course, we recognize that income from this source will decline. Nevertheless, our ability to outperform by a factor of 3x the industry origination of PPP loans has resulted in significant benefits to our communities as well as hundreds of thousands of individuals and families. Of course, our earnings from the PPP program have bolstered profitability during the pandemic and produce capital that ultimately benefits our shareholders. PPNR from the program has equaled $262 million so far, and there remains $137 million in capitalized income that will be realized over time.
Paul Burdiss: Thank you, Scott, and good evening, everyone. More than three-quarters of our revenue is net interest income, which is significantly influenced by loan and deposit balances and growth. As such, I'll begin my comments on Slide 12 with a review of those 2 categories. While average loans were down in the second quarter by nearly 2% when compared to the first quarter, we are starting to see slight improvement in our C&I, owner-occupied, home equity and our bank card portfolios. Excluding PPP loans, average loans were down 1% from the prior quarter and down $2.4 billion or approximately 5% from the prior year period. As Harris noted earlier, and it's worth repeating, period-end loans, excluding PPP loans, were essentially flat from the first quarter. Within the loan portfolio, average non-PPP commercial loans were down $172 million or less than 1% from the prior quarter, while period-end commercial loans increased nearly 1%. Within the commercial real estate category, construction and land development loans increased on a period-end basis by 5.4% compared to the prior quarter and term CRE declined less than 1%. Overall, the total commercial real estate portfolio grew 0.4% when compared to the prior quarter. Average consumer loans declined $437 million or 4.1% from the prior quarter. Unlike last quarter, when consumer loans were down in each category, in the second quarter, we saw growth in 3 categories: home equity, construction and other commercial real estate and bank card. We saw a 5.4% decline in residential mortgages when compared to the prior quarter due to continued refinancing activity, although the attrition rate slowed as the quarter progressed. And in the PPP loan portfolio, we continue to see paydowns and process forgiveness totaling $2.4 billion in the quarter. The average balance of PPP loans decreased 3% compared to the prior quarter.
Operator: . Your first question is from Ken Zerbe from Morgan Stanley.
Kenneth Zerbe: I guess maybe just starting off in terms of the security investments. I know you said you obviously stepped up security investments this quarter and you plan to continue at sort of this elevated pace going forward. Now, you obviously know you don't invest in the 10-year treasury. But with yields around 1.2% on the treasury side, like can you just talk -- I worry that the securities that you're buying are also kind of falling in yield. Can you just talk about like what you could -- I guess, I'm saying, what are the investments that you're investing in today? Or where are they yielding today versus kind of what your average purchase yield was on in 2Q?
Paul Burdiss: I'll start on that. You're right. I mean, obviously, there's been a big rally in the 10-year. We've seen rates fall. We don't invest in the 10-year, as you said. Our duration is kind of in the 3- to 5-year sort of bucket. And we put securities on there that's generally where we've been investing in swaps as well. I will say that we -- the ALCO, our Asset & Liability Management Committee tries to be somewhat thoughtful around timing. So it's not like we've got an automated program where we're buying X million dollars per day or per week. And so in the face of dramatically falling yields, I think you'll see us kind of slow down with the hopes that we'll be able to make that up later on in the quarter.
Kenneth Zerbe: Got it. Okay. I think that helps a little bit. Maybe just as a related follow-up. Obviously, your guidance on net interest income becoming sort of moderately increasing from here seems to be the most positive change in your guidance. Is that driven by your, I guess, change in stance on investing in securities like because you're -- is it going up because you're investing more in securities? Or is it going because of, I don't know, change in things like your outlook for loan yields or something else?
Paul Burdiss: Yes. There's a lot -- again, I'll start on that. There's a lot mixed into that. As you know, the balance sheet is a pretty complicated thing. But one of the things that we are observing, and I would say, particularly versus a year ago, gaining confidence in is sort of the stickiness of the deposits that are showing up on our balance sheet and all of the relationships that go along with those. Scott did a nice job of explaining how the new depositors that are coming into the bank were really trying to integrate them and make them as sticky as possible. And as a result, it feels like this balance sheet growth is a little more permanent than I would have speculated a year ago. And what all of that means is that, yes, we can be a little more confident in how we're investing that cash. So that's part of it. But the other is, as I said, there are some green shoots to loan growth, which is highly speculative and a lot of things can change in the next year. But generally speaking, the optimism in our footprint really feels like it's improving. And so there's an element of a little bit of kind of core balance sheet growth in that outlook as well.
Operator: Your next question is from Dave Rochester from Compass Point.
David Rochester: Just on your NII guidance. I was just curious how much of that moderate growth is going to be driven by securities purchases versus loan growth. It sounds like you're starting to see some green shoots on the loan growth side. If rates continue to sit here or fall further, you decide not to allocate cash to securities, what's the risk to that NII guide is basically what I'm asking?
Paul Burdiss: Dave, I'll start on that. You're right. It is maybe a little rate dependent. And so as we say, there's a lot of things that can change the outlook. But our -- we've got -- as I think I said in my prepared remarks, we got over $10 billion in cash that's basically earning the overnight rate. And so we've got a lot of capacity to continue to invest. And as I said, we're keeping duration pretty short. And so the yield might not be fantastic, but it's more than 10 basis points or 15 basis points if we go out to 3 or 5 years. So we're trying to be really thoughtful about how we do that. There is some rate risk attached to it, and there is risk of loan growth attached to it. What we're trying to provide with this 4-quarter outlook is sort of our best estimate based on where we stand and based on what we see of where we think things are going to be a year from now.
David Rochester: Okay. Appreciate that. Maybe just one quick follow-up on the capital side. You guys spoke to this already. It seems like you've got all kinds of capacity to accelerate that buyback going into the back half of the year. I'm just curious with peer capital ratios were targeted to actually decline over time, was wondering where roughly you guys see your targeted CET1 ratio now? And how quickly do you think you're going to get there? I know you'll cite some capital off to support loan growth, but in terms of -- it just seems like you got a lot there for buybacks. And just curious how quickly you could reduce that to your new target?
Paul Burdiss: Well, I'll start on that, and Harris will provide his perspective as well. We have been saying for some time that we expect to have a sort of a slightly better than median capital position and a slightly lower than median risk profile. And that continues to be our goal. And so as you point out, to the extent that the economy reemerges and folks kind of get back to business and capital ratios adjust, I would expect to adjust ours accordingly, although that's going to be -- the speed at which we do that is going to be subject to the Board and other approval.
Harris Simmons: I'd agree with that. One thing I would note is, I think that we've got quite a lot of room right now, but I also think that as others continue to adjust targets downward, I don't expect that we're going to be involved in a race to expect that we're going to be involved in a race to the bottom in terms of how low can we take these ratios. Among other things, I look at what's happening in the world. Commercial real estate, I think, is not at the moment. But I think as leases run off and this world kind of adjusts, I think that's an area we're all going to be watching really carefully. I mean, I think there's a whole lot of risk in the world despite the fact that we're not seeing it emerging as losses today. So I mean and I expect that will be -- we're going to want to be a little bit conservative relative to the crowd, but there is indeed a fair amount of room there today, and we're going to be working on that.
Operator: Your next question is from Ebrahim Poonawala from Bank of America.
Ebrahim Poonawala: I guess just one first question on loan growth. You've heard from your peers as well around green shoots on loan growth. Obviously, you guys had flat balances quarter-over-quarter. Just give us some color in terms of what gives you optimism that this trend that you've seen recently is sustainable? And would appreciate if you could put some numbers around what modest slight loan growth for the back half means?
Scott McLean: This is Scott McLean. I'm happy to take that. One of the things we said throughout the last couple of quarters is when your portfolio is declining, you need to first reach a couple of flat quarters before you can start to project increases. Even though a lot of our peers project increases in the second half of the year. I think we're just pleased that here in the second quarter, we've seen a flattening. We're not experiencing the same declines, and I think that gives us optimism that we can start to move from that with growth. We're clearly seeing more greater activity in all of our client bases. One of the biggest things that I think will drive loan growth will just be as our small- and medium-sized businesses rebuild their working capital positions. They all collectively pulled back really hard on their investment in inventory and certainly receivables. And with the inflationary pressures, supply chain pressures, you're seeing businesses lean heavily into rebuilding inventory again as their sales are increasing. And so this should lead to some additional utilization -- increase in utilization, which we are at historic levels -- historically low levels as Paul noted. The other thing I would comment on is that we are very actively positioning our owner-occupied financings and HELOC financings throughout the late spring and the summer months and fall months here because those 2 products are directly aimed at our primary client base, and we think with the right structure, there's a lot of potential demand there.
Paul Burdiss: I’d just -- just to add a footnote to that. What we're using is some reasonably aggressive introductory kind of teaser rate pricing. And that should produce some growth in those couple of portfolios, which are really important portfolios for us. So it may in the very short term, the volume impact will be offset by some of the rate impact. But the rates will be kidding are a lot better than the rates we're getting on cash at the Fed.
Ebrahim Poonawala: Got it. And just as a follow-up to that, like the 2 things that we've heard from other banks, we are sharing loan growth with customer liquidity and supply chain constraints impact on inventories. Are either of those easing? Like if you could give an update based on your customers where liquidity stands and are they seeing some easing of supply chain constraints?
Scott McLean: Yes. Our customer base just as it is for most banks and throughout the economy. They have a lot of liquidity. It's reflected in the low utilization rates. But there is no softening in the concerns about supply chain or concerns about inflation. Those concerns are real. They're certainly remaining steady, if not building in terms of the minds of business owners.
Operator: Your next question is from Ken Usdin from Jefferies.
Ken Usdin: Nice to see the ongoing control of core expenses, and I heard continuing to -- putting forward the systems and heading towards Phase III. As you deal with this current environment move past hopefully, the COVID spend and then on to the last legs of Future Core, are we any closer to kind of seeing that turning over of expenses where you might start to net benefit? Or we still have a little bit more of the kind of build-out going underneath the surface until we get to that point where we really start to see the productivity enhancement?
Scott McLean: Yes, it's Scott. I'll...
Harris Simmons: Okay. Yes. Excellent.
Scott McLean: Yes, happy to address that. We'll see a slight increase this year on our expenses related to our future core project over last year about $3 million or $4 million built into our forecast. And then next year, we'll actually see some softening. But in 2023, when we go live with our deposit application, that's where we'll see a little bit of a bump up to be followed quickly only for by a pretty nice drop off. So all in all, expenses related to technology and future core specifically should be very manageable in 2022. And the only reason there's an increase in '23 is that when you put a major system into production, it pulls forward a lot of expenses in that year. And then there's about a 20% falloff in that related cost in the following year. So there'll be a 1-year kind of increase in '23. And then just the question is, how do we divert those now available technology dollars to other technologies? I'm not sure we'll have to divert all of them to other technologies, but the demand for technology spend will probably always continue to be very high. But we certainly will be passed the elephant in the room, which is paying for a completely new core system, something the rest of the industry in its entirety has in front of it.
Ken Usdin: And one follow-up, Paul. You mentioned that there's an ebb and flow between your rate sensitivity kind of moving on to the noninterest-bearing deposits, but then we have the current burden of just the lower near-term rates. Has anything changed with regards to your hedging strategy? And have you -- do you -- have you added any or terminated any to kind of bring forward of that? Or you just kind of let it play out according to schedule even amidst this volatility we're having now?
Paul Burdiss: Yes. Well, thanks for your question. The -- we haven't terminated anything yet. Yes. We have done that in the past, as you know. We haven't done that. But given the rally, it's certainly something we'll be paying attention to. In terms of adding, as I noted, we added, I think, pretty significantly the securities portfolio. We have been growing that over the course of last year by several billion dollars. I think we're going to continue to grow that. And then we're also paying a lot of attention to swaps. We put on $0.5 billion of notional value of swaps in the last quarter. These are forward starting swaps and the yield curve got to kind of a level that we are a little more comfortable with. It's backed off away from that now. But we're certainly paying attention to kind of both of those duration adding products that is the investment portfolio in swaps as we think about managing our interest rate sensitivity position, which you correctly point out is really being driven by pretty great deposit growth and particularly demand deposit growth.
Operator: Your next question is from John Pancari from Evercore ISI.
John Pancari: Just on the loan growth, I heard you in terms of noting some flattening that you saw in balances in the second quarter. And I get your expectation for slightly to moderately increasing over the next 12 months. Just in terms of that inflection in terms of how should we think about loan growth resume? Are you implying that next quarter is when we should see some growth and you expect a steady strengthening from that point? Or is it still something that's kind of back-end loaded on your next 12-month outlook?
Paul Burdiss: If I could start on that one. John, as you know, we don't -- we try really hard to not to make sort of quarter-by-quarter outlook, which is why we do our sort of 4 quarters out. And so I don't want to get overly precise on timing. But as we said, we sort of saw a flattening of period end balances this quarter. That felt pretty good. We saw an uptick in utilization. That felt pretty good. So we need some more affirming evidence, right? But I would stay focused on where we're going to be a year from now as opposed to trying to speculate on what's going to happen in the third quarter.
John Pancari: Okay. That's helpful. And then on the -- I guess, 2 quick things on the expense front, 2-part question. One, just in terms of the completion of the core project in 2023, do you just have the timing in 2023 when do you expect that to complete if you can give us an update there? And then separately, because I know this obviously dovetails into your expense expectations. Can you give us your updated thoughts on your long-term efficiency ratio level? I know you're running around 59 range this quarter. Where do you see the longer-term trend for the bank as you look out?
Scott McLean: This is Scott. Let me put a finer point on this core transformation expense thought. I was talking about it kind of elliptically and I'll put a finer point on it and then toss the ball to Paul or Harris if they want to talk a longer-term efficiency ratio. But what I basically said was that our expenses for Future Core, our core transformation project, basically would be -- they're in the range of about $45 million in 2020, 2021, and there will be a little less than that in 2022. So around that number, in terms of P&L impact. And that number will go up into the low 50s in 2023 when we bring the system online. And then in the following year, it will drop by about $7 million, $8 million. So those are the kind of swings we're talking about. They're not big dramatic swings, but they do free up dollars once we get past 2023. And in terms of the timing in 2023, it's not one big conversion as we bring all of our affiliates onto the deposit system. It's multiple conversions, and it will take place throughout the year. But by the time we get to the second half of '23, we should be we should be clear segueing.
Harris Simmons: And then with respect to longer-term efficiency ratios, I'd say you got to tell me what the rate environment looks like. 25 basis points of margin is worth a couple of hundred million dollars a year to us. And that had just so changes the picture in terms of efficiency ratio that I think in the current rate environment, M&A remains what we've seen over the last 3 months, 6 months for a very long period of time. I think it's going to be tough to be under we're probably kind of low 60s. I hope we're low 60s. But with some with some movement, I personally am a belief that this inflation is not just transitory. I mean we're seeing it in -- and it also gets an efficiency ratio. I mean we're seeing it in terms of wage pressures. So we're trying to fill up in positions. I mean it's a really competitive labor market right now. And -- we're seeing -- I heard this morning an employee that got a call was hired without an interview for about a 50% increase in pay and stuff like that starting to go on. I think that what we're going to see personally is sustained -- a sustained period of inflation that's going to lead to higher rates and it's going to produce better margins, kind of produce other kinds of problems along with it. But I think that it's, in my mind, unlikely that we're going to see this rate environment last for a very long time. But I -- if it does, I think it's going to be tough. If it doesn't, I think we'll see ourselves back into the 50s in a sort of a more normal rate environment, I think we'd be down probably in the mid- to low 50s. But it's just so dependent on the rate environment. It's hard to say.
Operator: Your next question is from Peter Winter from Wedbush Securities.
Peter Winter: Great. I wanted to talk about credit quality, which is excellent, and it's probably some of the best in the peer group. But as you look out next year, what is a new normal for net charge-offs through the cycle with all the derisking that you guys have done?
Harris Simmons: Well, I'll take a stab at it. What we've tried to say is the last 2 or 3 years, our aspiration is to be kind of in the best in the top or best quartile in the industry in terms of charge-offs. And I expect that, that will be the case. I mean I -- it's hard to know exactly what that number is, although -- I mean, because we've seen periods like this before, where we've had -- we're down to kind of no charge-offs or net recoveries. And you can't do that. I'm not sure you want to do that forever. But I would expect that we're probably going to be in the 15 basis point, 20 basis point kind of range would be something that is sort of more normal and probably kind of reflects what we've done with the balance sheet.
Peter Winter: Got it. That's helpful. And then just a follow-up to that. Just the allowance for credit losses dropped to 1.22% ex-PPP. And I look to the CECL day 1, I think it was about 1.08%, but just given more confidence in the economic outlook and the changes to the credit risk profile, do you think that the allowance for credit losses could go below that January 1 level?
Harris Simmons: Let's see. Paul, do you have any thoughts about that? I look like you're...
Paul Burdiss: Yes. This is Paul. I'll start with that. The -- under CECL, the allowance for credit losses is so heavily dependent on the economic outlook that -- you've got the 2 main factors of the size and underlying risk in the portfolio and then the -- and then economic outlook. And what we saw this quarter was another release that was based largely on a very quickly improving economic outlook. And it is a kind of a complicated that we have to build every quarter. So it would be very, very speculative, I think, to say that we could get a lot lower or even go up from here just because we just don't know. There are so many assumptions that go into it. I know it's a really weak probably answer relative to what you're looking for. But the honest answer is, is that from quarter-to-quarter, we don't know until we get there. And then we assess the risk at the end of the quarter, and we the allowance sort of loan by loan from the bottom up.
Operator: Your next question is from Chris McGratty from KBW.
Christopher McGratty: I want to go back to a comment earlier in the call about the degree of confidence in the size of the balance sheet versus a year ago. I wonder if you could elaborate that specific to the deposits. We've heard some of your peers talk about some of the transitory deposits that may or may not burn down over time. But just looking for a few comments to build on your comments before about the confidence of the balance sheet.
Paul Burdiss: Yes. I'll start. The -- there are a couple of things there. One, I would say our deposit growth relative to average deposit growth looks pretty good. That is to say it feels like our deposit growth is a little stronger. Some of that's from new customers, some of it is from existing customers. But we do a lot of analytics. We were part of the sort of the CCAR and LCR world for a while. And so all of those things that we developed, we still utilize to run the business and run the bank. And so part of that development on liquidity stress testing was really good insights into the operating nature of our customer accounts. And what we're seeing is new customers are using their accounts in an operating way and existing customers are continuing and are building their use of their deposit accounts in an operating way. And what that means is that they just feel more sticky. So I would have guessed and did a year ago that deposits that were generated through the PPP program because as a reminder, all of those PPP fundings had to occur on our balance sheet, right? We put them into a deposit account drawn on our bank. And I expected that those funds would be largely spent. In a relatively short amount of time, what we found is that our customers are far more resilient frankly, than I gave them credit for. And that's been a really great credit story as they've learned to balance out their cash flows in the way they run their business. But it's also been a really good liquidity story because all of this money that I expected to be utilized in the business ended up sort of staying on the balance sheet. And as a result, over time, here we are a year later and deposits are much higher than they were when I was originally kind of speculating on that. So it's a long way of saying that sort of over time and experience and with some real analytics on -- looking at the sort of operating statistics that are underlying the deposits, we are just gaining more confidence that those deposits are going to be around longer than we originally thought.
Christopher McGratty: Maybe just one housekeeping on the tax rate. Is this a good tax rate going forward in the future?
Paul Burdiss: Well, that's highly speculative, I would say. Based on the current law, I think we're in pretty good shape, but that could change, as you know.
James Abbott: Christian, this is James again. I just wanted to announce that we just got a few minutes left for the call. So we're going to switch gears into the lightning round as we call it. So we'll just go to one question from each questioner at this point.
Operator: Your next question is from Gary Tenner from D.A. Davidson.
Gary Tenner: I had a question just with regard to the energy portfolio, further decline this quarter, which I suppose it isn't really surprised. But I'm curious how the increase in commodity prices is maybe starting to show itself, if at all, among your E&P borrowers from an exploration perspective and whether the expectation would be that cash flows are so strong at this point as they've delevered that they would actually draw down on lines for that purpose or that they would fund it more out of cash flow?
Scott McLean: Yes. Thank you for the question. This is Scott McLean again. Clearly, the strengthening in commodity prices has helped the entire energy sector. And our balance, excluding PPP loans, are basically flat. We do think we'll see some growth there. And -- but basically, of upstream companies, you see them going back into the field, you see drilling increasing. And that -- most of that will be funded -- it will be funded partially by cash flow, but also utilization. So the partially by cash flow, but also utilization. So the debt, fundamentally. About half the banks that used to be in the energy lending industry have exited. So it will basically be bank revolvers and cash flow that they'll fund out of. But I think you'll -- we'll see over time increases in revolving balances for upstream companies. Credit quality has obviously been improving as well. We're seeing that and should continue to see that.
Operator: Your next question is from Brad Milsaps from Piper Sandler.
Bradley Milsaps: You just addressed my question on energy. But maybe kind of looking at the portfolio more holistically, are there other areas that you guys are emphasizing or deemphasizing more than others? Harris mentioned some concerns around CRE, maybe some teaser rates around HELOC, you mentioned municipal in the past. Are there other areas of the loan book that you guys are maybe more or less bullish on as we kind of contemplate your loan growth guidance over the next 12 months?
Harris Simmons: I guess 1 thing I talked a little bit about CRE, and I mean, I expect that probably continues to grow but very, very modestly. The municipal portfolio, we're seeing a more competitive environment out there, and that's probably slowed us down a little bit. And so, we'll see what happens with that, but that's been a growth driver, which I think will probably be growing at a slower pace. I think that owner-occupied commercial real estate is likely to see some decent growth. It's something that we're really promoting, as I mentioned before. And...
Scott McLean: I might just add to that, that we've seen multi-quarters where our 1- to 4-family mortgages on balance sheet have declined. These are basically jump mortgages. And we're starting to see a mix change, again, back to originating more held for investment. I don't know if that line will flatten this quarter or next quarter, but if you look back over the last 5 or 6 years, 25% of our loan growth has come from 1 to 4 family. It's a great product for us, it's a great business. And I think you'll see -- we'll see growth there again. It just may be another quarter or 2 before it flattens and starts to turn.
Harris Simmons: Yes. So those are, I was going to say just fundamentally just commercial C&I more generally as companies. I think as Scott aptly pointed out that there are a lot of opportunities for companies to be building inventory and kind of getting back to something closer to normal and I think that's going to result in some loan demand.
Operator: Your next question is from David Long from Raymond James.
David Long: As it relates to C&I loan growth, you discussed several external factors that may help in seeing some green shoots. But is there anything you can do internally to try to get loan growth to pick up? Is there an opportunity for you to adjust your underwriting, be more aggressive on price? Anything that Zions itself can do? Just try to help reaccelerate that C&I loan growth.
Harris Simmons: Well, yes, I mean, as mentioned, we're using some kind of reasonably aggressive introductory rates. We're trying to really take advantage of is the fact that we have a lot of very, very low-cost money. And so we're trying to really build a book of business that will be more normally priced as we get out of a year. But we'll start to build balances earlier than that and give us a real income pick up even at a lower introductory rate than we're getting on cash. So that's probably the main thing we're doing. We're not really relaxing underwriting. I don't -- we think that, that needs to remain reasonably constant. But we are seeing opportunities to put some -- to try more aggressively price in the near term.
Scott McLean: I would just add, too, that the secret sauce always is the amount of time your bankers spend out of their office calling on clients and our bankers are out -- they're out calling. They've been doing it virtually. They're doing it more physically now. And at the end of the day, you can't really write about it much in an analyst report. But that's fundamentally what drives loan growth.
Michael Morris: This is Michael. I might add that we've reduced our -- kind of our temporary guidance around underwriting from COVID at its peak to now something that looks more like pre-COVID underwriting. So we're back to kind of a pre-COVID view of how to underwrite new risk.
Operator: Your next question is from Steve Moss from B. Riley.
Steve Moss: Just with the balance sheet continue to grow here, and obviously, you're seeking to be on the capital management side. Kind of curious as to leverage ratio went down this quarter, how low are you willing to go on that ratio with buybacks, potentially with the low to mid-7% range be acceptable to you guys?
Paul Burdiss: Sorry, the question was on the leverage ratio?
Steve Moss: Yes. Would you go down to like below to mid-7% range?
Paul Burdiss: Yes. So I'm going to give an answer that's more complicated than your question. And the answer is that it's a little bit dependent upon the nature of the risk of the assets that we're putting on. So for example, right now, we've got a lot of PPP loans, which we see as having little to no credit risk and a lot of basically overnight investments, which have little to no credit risk. And as a result, I think our philosophy around capitalization is that we have to hold capital that's commensurate with the risk in the balance sheet. That's true for the risk-adjusted ratios, and it's true for the leverage ratio. So long as there's not a lot of incremental risk being added, I don't think -- organizationally, I don't think we're overly concerned with the leverage ratio ticking down a little bit from here.
Harris Simmons: Yes. I don't think that's likely to become a binding constraint for us. We'll worry about other things before we do that.
Operator: Your last question is from Steven Alexopoulos from JPMorgan.
Steven Alexopoulos: I'm curious, as it relates to COVID, is the Delta variant having any impact on confidence levels of your commercial customers yet, right? Are they just starting to pay attention to this or not? And maybe for Michael, as it relates to your reserve, is the potential impact from Delta embedded in the economic outlook that you used this quarter to establish the reserve?
Harris Simmons: Yes, go ahead, Michael. Maybe you take this.
Michael Morris: Yes, I was just going to say, it might be a little too early to understand the impact to our borrowing community. But we did have a discussion about the Delta variant. We will probably have a discussion in Q3 about it. It would end up in the qualitative area of the ACL.
Harris Simmons: Yes. And I would just say, I think I'm not sure that it's we can yet discern any real concern on our customers' part about the Delta variant. Infection rates today are still about 10% or something of where they were at the very peak. So it's -- I think with a big portion of this population vaccinated as it starts to pick up, I think it's going to create a real inducement for younger people to get vaccinated, I hope. And then our hope has got to be that as we start to understand what you need to do in terms of boosters, et cetera, that everybody is kind of playing ball. But I don't think it's showing any signs at the moment of slowing down our commercial customers' confidence in the recovery.
Operator: I'm showing no further question at this time. I would like to turn the call back to Mr. James Abbott for closing.
James Abbott: Thank you, Christian, and thank you to all of you for joining us today. If you have any additional questions, please contact me at e-mail -- at my e-mail or by phone listed on our website. Look forward to connecting with you throughout the coming months. And again, thank you for your interest in Zions Bancorporation. This concludes our call.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation, and have a wonderful day.